Operator: Good afternoon, and welcome to the Brookline Bancorp Incorporated's First Quarter 2015 Earnings Conference Call. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this event is been recorded. I would now like to turn the conference over to Marissa Frerk, Associate General Counsel. Please go ahead. 
Marissa Frerk: Thank you Gary, this call may contain forward looking statements with respect to the financial condition, results of operation and business of Brookline Bancorp Inc. Actual results may differ from these forward-looking statements. Factors that may cause actual result to differ include those identified in our annual report on Form 10-Okay and our earnings press release. Brookline Bancorp Inc. cautions you against unduly relying upon any forward-looking statements and disclaims any intent to update publicly any forward-looking statements whether in new response to new information, future events or otherwise. Please note this event is being recorded. I would now like to turn the conference over to Paul Perrault, President and CEO. Please go ahead sir.
Paul Perrault: Thank you Marissa. Good afternoon all and welcome to Brookline Bancorp's first quarter earnings call. I'm accompanied today by our Chief Financial Officer and Treasurer, Carl M. Carlson who will walk you through our quarterly financial results following my comments. Yesterday we reported $11.7 million in net income or $0.17 per share for the first quarter of 2015. As compared to $10.9 million or $0.16 per share in the fourth quarter of last year. This represents an annualized 30.5% increase in net income. Also, I'm happy to report that the board approved the 5.9% increase in our quarterly dividend to $0.09 per share for our common shareholders. This is the first increase in our regular common dividend, since the company completed the second step conversion in 2002. The investments we have made and the dedication and efforts of our colleagues has created one of the region's leading commercial banks, driving our earnings growth and now quite literally paying dividends. In December, we discontinued the origination of indirect auto loans and in March we sold over 90% of our automotive portfolio. This accelerates our exit from a low return commodity business and further concentrates our focus on high quality commercial relationships. At March 31, 2015 commercial real estate and commercial loans and leases made up over 80% of our total loans, which represented growth of $93.3 million or 10.3% on an annualized basis from the end of last year. Deposits also continued to grow steadily reaching over $4.1 billion at the end of March 2015. In the first quarter, we continue to grow revenues as margins continue to be challenging in the volatile interest rate environment. We also continue to execute on efficiencies by streamlining many processes while maintaining our outstanding customer service. I will now turn you over to Carl who will review the Company's first quarter into more detail. Carl?
Carl Carlson: Thank you, Paul. We had several significant items impacting the first quarter. I'll start with the accounting impact of the adoption of ASU 2015-01, as of January 01. ASU 2014-01 is the new accounting guidance for investments in qualified affordable housing projects, which requires the initial cost of investments in affordable housing be amortized in proportion to tax credits and other tax benefits received, and be recognized as a component of the provision for income taxes. Historically the amortization of these investments recorded in at noninterest income. ASU 2014-01 requires retrospective application, which resulted in accumulative impact of $1.1 million to our beginning retained earnings for 2015. Another event for the quarter was the sale of $255 million in automobile loans. After transaction costs we recorded nominal loss on sale of $11,000, while releasing $1.9 million in loan loss reserves. Excluding the indirect automobile portfolio, loans and leases grew $105.6 million or 9.4% on an annualized basis from the end of the year. This growth continues to be particularly strong in the commercial real estate and commercial loan and lease portfolios with all three of our banks contributing. Overall deposits balances grew $156.7 million in the first quarter or 15.8% on an annualized basis. Growth was primarily in savings accounts and brokered CDs. At March 31, our loan-to-deposit ratio dropped to 113% versus 122% at year end. Our quarterly average interest earning assets grew $107.3 million from the previous quarter, which drove the link quarter improvement in net interest income of $952,000. Provision for credit losses for the quarter was $2.3 million, which is 539,000 more than the fourth quarter. The components of the 2.3 million quarterly provision consisted of 854,000 for net charge-offs, 1.7 million to cover loan growth, 1.6 million to cover specific reserve for a loan downgraded during the quarter and these were offset by the $1.9 million of release reserves related to the auto portfolio sale. Company's non-interest income totaled 4.5 million for the first quarter, which is consistent with the fourth quarter. However the sources of revenue were a bit different. Gain on sales loans leases increased $546,000 from the prior quarter offset by quarterly decrease of $562,000 in loan level derivative income. The increase in the gain on sale was driven by a periodic review and the participation of a pool of equipment leases to manage our concentration risk. The company's non-interest expense decreased $1.1 million during the first quarter to $31.3 million. This decrease was driven by a $692,000 decrease in compensation employee benefits and $233,000 decrease in other expenses. Compensation and employee benefits decreased due to the non-recurring severance expense incurred in the fourth quarter, fewer work days in Q1 versus Q4 and a slightly smaller work force. These benefits were only partially offset by merit increases and other seasonal increases in benefic costs. Other expenses decreased due primarily to lower costs associated with collections and other real-estate owned properties. As of March 31st, we have not purchased any stock under our Board approved repurchase plan. Finally as Paul mentioned the Board approved an increase of a quarterly common dividend from $8.50 to $0.09 per share, this would be paid on May 22 to shareholders of record on May 8th. The quarterly $0.09 per share dividend represents an annualized yield of 3.41% based on yesterday's closing price of 10.40. Before turning back over to Paul, I'll provide a few comments on our expectations for the second quarter 2015. Average earning assets will be lower in the second quarter due to the auto loan sale partially offset by our quarterly loan growth. While we continue to see the coupons on newer originations coming lower than our overall portfolio, we expect to yield on our loan portfolio remain flat to higher based on our portfolio mix going forward. The provision for loan losses were expected to decline from Q1 will be driven by our loan growth, net charge-offs and continued assessment of our portfolio of risk factors. Non-interest income is projected to be in line with the first quarter and our non-interest expense is expected to be relatively flat from Q1 as we continue to efforts to drive revenue growth while controlling expenses. Last but not least we expect our effective tax rate to be approximately 36.6% in Q2. With that I'll turn it back over to Paul for concluding remarks.
Paul Perrault: Thank you Carl. Brookline Bancorp had a great start to 2015. We are looking forward to continue to assess in the future and now we will open it up for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. And our first question comes from Mark Fitzgibbon with Sandler O'Neill. Please go ahead.
Mark Fitzgibbon: Maybe I could just start with one sort of market related question. I know you guys had a good quarter and beat consensus, but your stock is up about 7.5%. Is there anything else out there that you are aware of that's causing the stock to really spike and it really just happened this afternoon.
Carl Carlson: I'd say that the earnings release speaks for itself and that's all I'm aware of that is out there on it.
Mark Fitzgibbon: Secondly, I wondered if you could share more detail with us on that one large commercial relationship that had some issues this quarter?
Carl Carlson: Sure, it was a Bank Rhode Island loan. It was made about 1.5 years ago to well establish company; it's been around for 25 years. It started experiencing some difficulty regarding a foreign contract which really created an overdraft situation or over advance situation that could not be cured, so which resulted in a default. So the company's operating on a breakeven basis and as we review it and look at, the worst case scenario in our minds, we thought it was best to establish $1.6 million specific reserve against this, this particular credit. It's about, it's all left in $9 million loan and it really was the driver of the increases in our non-performances this quarter.
Mark Fitzgibbon: And then I think you booked about $110 million in brokered deposits this quarter to pay down some borrowings. Are we likely to see that trend continue? And is there a limit where you'd sort of feel comfortable with brokered deposits at a certain level?
Carl Carlson: Yes, I am pretty comfortable where we are now, I think it's about 3% of our total assets, I mean I'm comfortable going up the 5% or so, but it's not something that -- I don't think it's uncomfortable where we are now. We look at the market and brokered CD's just happen to be cheaper than a federal home loan bank advances at the time, and so when you see those opportunities you want to take advantage of them, it's just another way of locking it from term funding and also it doesn't require any collateral so it improves the overall liquidity of the company, not that there is any liquidity concerns but it just overall improves all of your operating ratios and risk ratios.
Paul Perrault: Let me just add Mark, that we obviously have strong origination capability and as such we do have quite a number of deposit gathering initiatives going on that we're hopeful we'll bear fruit in the not too distant future. In the meantime, Carl has done a very nice job of managing the wholesale funding, in a way that lets us keep rolling in and yet contains our cost of funding.
Mark Fitzgibbon: And then just lastly, I wondered if Paul may be you make a comment on whether you think acquisition activity in general is likely to pick up in Eastern Massachusetts any time soon? I know a lot of capital coming to that market in the last year or so. Do you see more consolidation coming?
Paul Perrault: I don’t know Mark, I mean you can line up all the usual suspects and somebody may or may not buy them if they are willing to be sold and I would venture to say that you probably have a better guess of that, than I would.
Operator: [Operator Instructions]. The next question comes from Collyn Gilber with KBW. Please go ahead.
Collyn Gilber: Carl can you just follow-up a little bit more on your comment on loan yields, your outlook saying loan yields would be flat to higher, it's surprising and impressive certainly given competitiveness within the environment and where interest rate are? And then also to just want to make sure we understand the dynamic that the auto pool sale had on the NIM this quarter just based on the timing of that.
Carl Carlson: Very good questions on that. I will start with auto portfolio sale because it will probably help you to do the math as you look at the press release. The auto sale happened right at the end of the quarter, so we got the full benefit of those balances during the quarter that we did have, so the sale happened right at the end of the quarter. So we won't have those balances in the second quarter and going forward. Naturally our strong loan growth will quickly offset that and naturally all of those loans are at higher yields than what the auto portfolio was providing us. The second thing is if you look at just our quarterly results for the first quarter, without getting too much away here, and you just take the total and take the auto portfolio our yields go up on loans, the remaining loan portfolio if you'd looked at that, it jumps-up probably seven, eight, nine basis points. So that would be if you thought it as a starting position there. Now we are continuing to see compression, we're still booking loans at two to three basis points lower than our portfolio yield. And the market is not helping us in any way along those lines. We continue to see a flatter yield curve. But all that being said, we're still booking loans at much higher yields than we were before in that sense even on a portfolio basis, percentage basis. So that's where you're seeing the increase, once the auto portfolio comes out the weighted average shift of rest of the yields are higher.
Collyn Gilber: It is helpful. And you may have said it and if you didn't may be I missed it. What the average yield was for the 255 million that you sold?
Carl Carlson: It was around 3%.
Collyn Gilber: Okay.
Carl Carlson: May be slightly higher than 3%, couple of basis points.
Operator: The next question comes from Tom Alonso with Macquarie. Please go ahead.
Tom Alonso: Just real quick, the other loans you guys sold, did you say that was some leases that you sold to reduce concentration risk?
Carl Carlson: That's correct, we do lot of the equipment financing business. This was also in this case out of Bank Rhode Island, particularly the fitness equipment business and national player in that platform in that sense, that we do a lot of lending with, and it's very, very good paper and we have a partner that really likes that paper, so we’re able to participate some of that out, so we can continue to lend to this particular.
Tom Alonso: Can you give us a sense of sort of the size and maybe what the yields are on that paper?
Carl Carlson: Sure, I'll give you other ranges, we sold $10.5 million of loans. The yields on that paper were between 5% and 6% and the buy rate on that paper was around 3%. So we're able to well end, while we'd say -- we participate this out, so we'll participate anywhere from 50% to 75% of our particular loan out and be able to record that.
Paul Perrault: So still manage the origination, Tom, and yet we're able to harvest the yield and continue participating in the growth of the franchisees.
Tom Alonso: Any thought to maybe increase that as a way to sort of maybe free up some capacity for something else on balance sheet or you kind of liked given the yields I assume you like those assets.
Paul Perrault: Well, we do like the assets but frankly we do have other business lines that have assets that have similar characteristics that we could possibly look into doing some of that. As you may note we had started doing that in a much smaller way, larger dollars, but in a smaller way in our commercial real-estate business last year and the year before a little. I mean there are other areas that we could possibly be doing that.
Operator: [Operator Instructions]. The next question comes from Laurie Hunsicker with Compass Point. Please go ahead.
Laurie Hunsicker: Just wanted to go back to net interest margin here. I was hoping you could help us with two components, specifically accretion income and then also in this quarter, did we see any prepayment penalty fees versus I know we had about 4 basis points in last quarter? 
Carl Carlson: The accretion income purchase accounting associate just with the loans was about $1.2 million this quarter. We were expecting to be about 1 million, it came in at 1.2. And prepayments -- we always have repayments and I would say it's around $600,000 this quarter. I don’t recall exactly what it was last quarter, but it was $600,000 this quarter.
Laurie Hunsicker: And then as we think I guess sort of more to the point on looking forward and I know there is a lot of things that can move around in accretion income but as you look for the next three quarters, what are you expecting accretion income to do in 2015?
Carl Carlson: I continue to see a declining; we're estimated to be about $1 million next quarter. We're three years in after the acquisitions below our interest rate environments we're seeing continued, people refinancing or prepaying or refinancing out of their loans. So that accelerates some of the income that you recognized, so I continue to see this going down as we go forward. But it is very volatile quarter-to-quarter, month-to-month, the activities based on the acquired loans. And so it's extremely difficult to estimate what that’s really going to be.
Laurie Hunsicker: So along those same lines -- and maybe this is as fine-tuned as you can get, but do you have a 2015 accretion income estimate? Or is your best guess $1 million…
Carl Carlson: We estimate $1 million a quarter.
Operator: This concludes the question-and-answer session. I'd like to turn the call back over to Carl Carlson for any closing remarks.
Carl Carlson: Thank you Gary and thank you all for joining us. We look forward to talking with you next quarter.